Operator: Good morning, and welcome to SeaWorld’s Fourth Quarter and Fiscal 2019 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today’s presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Matthew Stroud. Please go ahead.
Matthew Stroud: Thank you, and good morning, everyone. Welcome to SeaWorld’s fourth quarter and fiscal 2019 earnings conference call. Today’s call is being webcast and recorded. The press release was issued this morning and is available on our Investor Relations website at www.seaworldinvestors.com. Replay information for this call can be found in the press release and will be available on our website following the call. Joining me this morning are Sergio Rivera, Chief Executive Officer; and Marc Swanson, Chief Financial Officer. This morning, we will review our fourth quarter and fiscal 2019 financial results, and then we’ll open up the call to your questions. Before we begin, I’d like to remind everyone that our comments today will contain forward-looking statements within the meaning of the federal securities laws. These statements are subject to a number of risks and uncertainties that could cause actual results to be materially different from those forward-looking statements, including those identified in the Risks Factor section of our Annual Report on Form 10-K and Quarterly Reports on Form 10-Q filed with the Securities and Exchange Commission. These risk factors may be updated from time-to-time and will be included in our filings with the SEC that are available on our website. We undertake no obligation to update any forward-looking statements. In addition, on the call, we may reference adjusted EBITDA and free cash flow, which are non-GAAP financial measures. More information regarding our forward-looking statements and reconciliations of adjusted EBITDA and free cash flow to the most comparable GAAP measure is included in our earnings release available on our website and can also be found in our filings with the SEC. Now, I would like to turn the call over to our Chief Executive Officer, Sergio Rivera. Sergio?
Sergio Rivera: Thank you, Matthew. Good morning, everyone, and thank you for joining us. Today marks my 108th day at SeaWorld. Before I get into some comments about the full-year and fourth quarter results, I just want to make a few brief comments about my early observations and thoughts. This company is made up of a collection of truly differentiated and highly valuable brands and unique and irreplaceable world-class assets. It has a business model that is strong, continues to satisfy and delight its guests and has meaningful unrealized potential. It also has some of the most passionate, engaged and hardworking employees of any organization I’ve ever had the privilege of being a part of. As I’ve spent time around the organization these past few months, I’ve been particularly struck by the organization’s dedication to education, research, conservation, animal welfare, and animal rescue and rehabilitation. This company has been executing a thoughtful and clearly effective strategy over the past couple of years that has yielded strong results, with significant increases in attendance, revenue, adjusted EBITDA and shareholder value. As we have communicated to you over the last several quarters, and as you will hear from us today, we continue to make progress and to see many opportunities across each of our strategic pillars, rides, attractions and events, marketing and communications, pricing and costs, all intended to drive greater profitability and shareholder value. You should expect, we will continue to execute on this strategy and we will make adjustments and tweaks, which we will communicate to you along the way as we identify new and enhanced levers to drive shareholder value. I’m excited to be here and help guide the organization and realize the full potential of our assets, brands and ambassadors. With that, let me turn to our most recent financial results. We are pleased to report fourth quarter and full-year financial results with record revenue for the fourth quarter and record net income and adjusted EBITDA for the fiscal year. We believe these results were driven primarily by our strategic focus on new rides, attractions and events in almost every park every year. Enhanced overall marketing, communication and pricing initiatives and a relentless focus on realizing cost efficiencies across our organization. Attendance in the fourth quarter grew 2.2%, despite continued unfavorable weather in the quarter compared to the prior year quarter. And as we discussed in our last call, attendance in our peak summer months in 2019 was meaningfully impacted by weather headwinds compared to prior year. We believe the attendance growth in the quarter was driven in part by our calendar of popular events, including Halloween Spooktacular, Howl-O-Scream, Christmas Town, and Christmas celebration at our theme parks. We believe we have some of the best theme park offerings in the world, representing outstanding value for consumers. We grew total revenue per capita 1.7% for the full-year and 4.2% in the fourth quarter. Fourth quarter total revenue per capita growth was driven by a 6.9% increase in admissions per capita and reflects the progress we’re making on our strategic pricing initiatives. We continue to see the benefits from our expense reduction efforts and our enhanced culture of efficiency, and we’re working diligently to identify and execute on additional cost efficiencies that we expect will flow directly to adjusted EBITDA. Importantly, we saw growth in our season pass base at year-end, which as you know, has been an important strategic focus for us. We believe our season pass offerings provide some of the best values in the industry and we’re doing a better job of communicating the highly compelling value these passes offer. Turning our attention to 2020. We’re very excited to introduce what we believe to be the company’s strongest year ever for new attractions, with brand-new record-breaking rides, attractions, events and/or experiences coming to every one of our markets, providing many highly compelling reasons to visit our parks and to visit over and over again. Let me take a few minutes to remind everyone what’s coming in 2020. At SeaWorld Orlando, we will introduce Ice Breaker, which will be the first quadruple swing launch coaster in North America, featuring four airtime filled launches, both backwards and forwards, culminating in a reverse launch up a 93-foot vertical spike leading to the steepest beyond vertical drop in Florida. Ice Breaker will be the sixth coaster at SeaWorld more than any park in Orlando. At SeaWorld San Diego, we will introduce Emperor, which will be the tallest, fastest, longest and first floorless dive coaster on the West Coast. After climbing more than 150 feet, the coaster car will dangle at a 45-degree angle before plunging into a 143-foot vertical drop that will accelerate riders to more than 60 miles per hour. At SeaWorld San Antonio, we will introduce Texas Stingray, which will be the tallest, fastest, longest wooden coaster in Texas, and will feature a drop of 100 feet, a top speed of 55 miles per hour, and over 16 airtime hills. At Busch Gardens Tampa Bay, we will introduce Iron Gwazi, which will be the tallest hybrid coaster in North America and the world’s fastest and steepest hybrid coaster, with the world’s largest drop. Riders will climb more than 200 feet before plunging into a beyond vertical drop, reaching speeds of 76 miles per hour, and experiencing a dozen airtime moments. At Busch Gardens Williamsburg, We will introduce Pantheon, which will be the world’s fastest multi-launch coaster and will accelerate riders to a speed of 73 miles per hour and will include a 95-degree drop, four launches, two inversions, 15 airtime moments and a height of 180 feet. At Aquatica Orlando, we will introduce Riptide Race, which will be the first dueling pipeline slide in the state of Florida, and will send riders through nearly 650 feet of slide all while navigating tight turns and accelerations. At Adventure Island, we will introduce Solar Vortex, which will be the first dual tailspin waterslide in North America. This family raft slide combines high-banking rotations and rapid descents sending sliders on a swirling journey through two open tailspin features. At Water Country USA, we will introduce Aquazoid Supercharged, which will be the first of its kind in Virginia. This new water slide experience will take guests in rafts through 59 fully enclosed color changing rings, with dynamic sound spread over 219 feet of slide, providing a new thrill each time you ride. At Aquatica San Antonio, we will introduce Tonga Twister, which will be the first of its kind in Texas, where guests will enjoy two thrilling body slides, with 350 feet of twisting and turning through tubes with special effect lighting patterns and a high-energy music, giving riders an exciting light and sound show. At Sesame Place, we will introduce Big Bird’s Tour Bus, where the whole family will enjoy a ride on this oversized, red double-decker bus with Big Bird and some of his furry friends. The bus goes around and around with a Sesame Street-inspired cityscape as the backdrop bringing smiles to everyone on board. This is the first time in our history, we have a major roller coaster opening in each of our five largest theme parks in the same year, and all of these coasters are truly world-class coasters. Equally as important, all of our rides and attractions are scheduled to open before the peak summer season. In fact, Texas Stingray at SeaWorld San Antonio opened for pass members this past weekend and will be opened for all guests this coming weekend. Our teams have really done a great job refining and reorganizing our planning and construction process. And this year, we will see the fruit of this effort. We are also excited about our lineup of events for 2020. The biggest events include our popular Seven Seas Food Festival at our SeaWorld parks and Food and Wine festivals at our Busch Gardens parks. Our award winning Electric Ocean event will return this summer at our SeaWorld parks, while our Summer Nights will return to our Busch Gardens parks. All of our major parks will feature our popular Halloween and Christmas events this year. We will also be introducing brand-new events in 2020, including Elmo’s Birthday Celebration at SeaWorld Orlando, Sesame Kids’ Weekends in SeaWorld Orlando, a new Craft Beer Festival at SeaWorld Orlando, and Mardi Gras at Busch Gardens Tampa Bay. We are pleased with our progress in 2019. But as we have mentioned, we strongly believe there’s additional opportunity to drive significantly improved operating and financial performance, and we are intensely focused on continuing to execute as we head into the spring break season. With that, I would like to turn the call over to Marc to discuss our financial results. Marc?
Marc Swanson: Thanks, Serge, and good morning, everyone. As Serge mentioned, our fourth quarter and full-year financial results were strong, with record revenue for the fourth quarter and record net income and adjusted EBITDA for the fiscal year. Fourth quarter attendance increased 2.2%. We believe that the improved attendance largely resulted from a combination of factors, including the positive reception of our new rides; compelling attractions and events; and enhanced overall marketing, communication and pricing initiatives. As mentioned in this morning’s press release, we saw unfavorable weather compared to the prior year that limited our attendance growth. Absent unfavorable weather during the quarter, we had some particularly strong attendance days, including some record days. During the quarter, we generated revenue of $298 million, an increase of $18 million, or 6.4%, compared to the fourth quarter of 2018. The increase in revenue results from the growth in both admissions per capita and attendance. We reported a net loss of $24.2 million, a decrease of $13.1 million, compared to the fourth quarter of 2018. Net loss in the fourth quarter of 2019 includes a legal settlement charge, net of insurance recoveries of approximately $32.1 million. Net loss in the fourth quarter of 2018 includes approximately $11.7 million of pre-tax expenses, as described in our earnings release. For the fourth quarter of 2019, we reported adjusted EBITDA of $83.9 million, an improvement of $19.3 million, or 29.9% compared to the prior year quarter. The adjusted EBITDA improvement was primarily driven by the increase in total revenue and the realization of cost savings initiatives. Fourth quarter total revenue per capita was $63.42, compared to $60.88 in the fourth quarter of 2018, driven primarily by an increase in admissions per capita. The increase in admissions per capita primarily results from the impact of new pricing strategies, partially offset by visitation mix. Looking at our results for fiscal 2019, total revenue was $1.4 billion, an increase of $26 million, or 1.9%. Total attendance was approximately $22.6 million guests, an increase of 0.2%, driven by a combination of factors, including the positive reception of our new rides and compelling attractions and events, and enhanced overall marketing, communication and pricing initiatives. These factors were largely offset by negative impacts from unfavorable weather in 2019, particularly during our peak summer and holiday seasons, when compared to 2018. Net income for the year was $89.5 million, a record for the company and an increase of $44.7 million. Adjusted EBITDA was $456.9 million, also a record for the company and an improvement of $55.6 million, or 13.9%. Fiscal 2019 total revenue per capita was $61.80, compared to $60.77 in 2018, driven primarily by an increase in in-park per capita spending. Net income in 2019, includes approximately $32.1 million related to a legal settlement charge, net of insurance recoveries, $4.3 million of pre-tax expenses associated with a previously announced equity transaction and $4.2 million of pre-tax expenses associated with severance and other separation-related costs. Net income for fiscal 2018 includes approximately $54 million of pre-tax expenses, as described in our earnings release. Now turning to our balance sheet. Our current deferred revenue balance as of the end of the quarter was $104.4 million, an increase of approximately 3%. If we exclude deferred revenue of approximately $2.4 million related to ZhongHong in the fourth quarter of 2018, our deferred revenue would have increased almost 6% as of the end of 2019. We spent $195 million on CapEx in 2019, of which $172 million was on core CapEx and approximately $23 million was on expansion or ROI projects. We estimate that approximately $15 million of core capital expenditures in 2018 relates to a shift in timing due to accelerated ride opening schedules for 2020 and 2021 attractions. As we previously mentioned, we have some rides opening before spring break, and all of our rides are on track to open before the peak summer season starts. Going forward, we expect to target approximately $140 million to $160 million in annual core CapEx. As we have previously discussed, we will spend opportunistically on non-core expansion or ROI CapEx when we find opportunities that meet our return hurdles, including on new parks and expansions, like our Sesame Place park in California, incremental revenue-enhancing projects, cost-reducing projects and other similar opportunities. As noted in this morning’s earnings release, our net leverage ratio was 3.24 times adjusted EBITDA for the 12 months ended December 31, 2018. As Serge mentioned, and as you have heard me say consistently over the past several quarters, we believe we have significant opportunity for even further improvement. To accomplish this, we will continue to focus on driving additional attendance and total revenue, while eliminating unnecessary costs and continuing to identify more efficient ways to operate our business. We are making good progress, which gives us greater confidence in our ability to achieve the higher-end of our goal of $475 million to $500 million of adjusted EBITDA by the end of 2020. Now, let me turn the call back over to Serge, who will share some final thoughts. Serge
Sergio Rivera: Thank you, Marc. Before we open the call to your questions, I have some closing comments. I want to thank our outstanding team of ambassadors for their efforts. They continue to remain focused on providing meaningful and inspirational experiences to our guests. Over the past several months, I’ve had the opportunity to visit our parks and spend time with our ambassadors. I have been incredibly impressed with their dedication to our parks, the animals under our care and our guests. Those of our ambassadors’ dedication and care for our animals, guests are inspired to join us in our mission of protecting animals and their habitats across the globe. I believe we have some of the best, most passionate employees in the theme park industry, and I’m sincerely proud to be working with them. On the rescue side, we announced in 2019 that we surpassed 36,000 animal rescues over the company’s history, including over 350 rescues in the fourth quarter. We are one of the world’s leading animal rescue organizations and we are proud of our efforts to protect and save wildlife. As we have said before, we have an exceptional business model. We are focused on improving our execution and continue our efforts to adjust and enhance our marketing communication initiatives, as well as our pricing strategies, with a goal of introducing new compelling rides, attractions and events in every park every year. We will continue to identify and execute on costs and capital efficiency initiatives that we expect will contribute to meaningfully improved margins and profitability. Through these efforts, we are confident we will deliver attendance, revenue and adjusted EBITDA growth that we expect will lead to meaningful increases and shareholder value. Before we go to questions, I just want to address one topic that I expect you all will have, the coronavirus. What I can tell you today is, we have seen no discernible impact on our attendance related to coronavirus. We are obviously very aware of and monitoring the situation. With that, let’s open up the lines to take your questions.
Operator: Thank you. We will now begin the question-and-answer session. [Operator Instructions] The first question will come from Steven Wieczynski with Stifel. Please go ahead.
Steven Wieczynski: Hey, guys, good morning. Want to go back to the 7% growth you saw in admissions per caps in the quarter, which I think you talked about was due to your strategic marketing initiative. I was wondering how we should think about admission per caps for this year? And I guess, the question really is, how much more room you guys have to push those marketing initiatives, as well as price increases right now?
Marc Swanson: Hey, Steve, this is Marc. I can take that question. As we’ve talked about for sometime, we thought we would achieve growth in admissions per caps, as we got to the back-half of the year and towards the end of the year and you saw that come through in the quarter, as you noted. We believe we have pricing power and will continue to be smart about the price increases we take. We think, at a minimum, we can get inflationary increases and perhaps times beyond that. We’re always going to have an eye towards driving total revenue, as we’ve talked about, so we’re going to continue to test and optimize different price points all in the – all with an eye towards driving total revenue and volume. But overall, we’re pleased with the growth in the admissions per cap in the fourth quarter. And we believe over the long-term, we can continue to get pricing and ultimately, that’ll be our goal, but obviously, again, with an eye towards driving total revenue.
Steven Wieczynski: Okay, gotcha. And then you kind of addressed, Serge, at the end around the COVID impact or lack of impact right now. But I guess, if there was going to be an impact, could you kind of walk us through where you think you would see that first? And I guess, what I mean is whether that would be more domestic, whether that would be international. And I get – I assume that at this point, your 2020 EBITDA range that you’ve got out there in terms of guidance, this is assuming no impact from that virus. And I guess, the last part of this question, which I know is super long and it’s multiple questions. But it almost seems like the trajectory that you’re on today, again, excluding any kind of virus impact would make us believe you could almost be on the the upper to outside of that range. Am I crazy to think about it that way?
Sergio Rivera: Yes, look, I – why don’t we start with the last part. We’ve signaled that we have a high degree of confidence in our – in achieving the upper range – the upper part of the range that we’ve described before. So I think you – your statement would probably be correct and we still hold to that. Obviously, there’s events out there that could threaten us, and we recognize that. To the COVID and the coronavirus question, look, it’s early days. As I stated in our remarks, we’ve seen no discernible impact to date on our business. We’re working through and thinking through some contingency plans. Obviously, we take health and safety very seriously for our employees, our guests or the animals under our care. And that’s where it would start. Beyond that, I don’t really want to speculate or say more. Stay tuned, I guess.
Steven Wieczynski: Okay, great. Thanks, guys. I appreciate it.
Sergio Rivera: Thank you.
Operator: The next question is from James Hardiman with Wedbush Securities. Please go ahead.
James Hardiman: Good morning. To that last point, could you just help us sort of think about your exposure to Chinese consumers? I know over recent years, I would imagine it’s at least third on the list, right? You’ve talked about your exposure to South America/Brazil and you’ve talked about your UK exposure, in conjunction with Brexit. Is the Chinese consumer a significant consumer for you guys?
Sergio Rivera: The short answer to that is no, it is not. It’s not in the top list. As you stated, UK, South America, particularly Brazil, Latin America, Mexico, China, Asia – I’m sorry, Canada, I keep confusing the seas there, Canada, sorry for the Canadians on the call. But no China is not as a significant part of our business.
James Hardiman: That’s really helpful. And then maybe just speak to, I guess, a couple of related topics. I mean, obviously, a lot of us look at the least data coming out of San Diego, that seems to have slowed in the fourth quarter. Obviously, some people would like to connect that to the Star Wars opening. But it seems like a lot of what you’re speaking to in the fourth quarter were some negative weather trends, where those particularly pronounced at your San Diego park, and maybe speak even broadly about if and how you think you Orlando park has been impacted, if at all, from that Star Wars opening? Thanks.
Sergio Rivera: Yes. Let me – that’s – there’s a bit there. Let me jump in on San Diego. This is how I think about it. You may recall that back in 2018, we saw some meaningful increases in attendance. I think it was around 22% that we saw in that park. And I think the story starts there. I think you really have to think about that park today, thinking back to a two-year lens is the way I’ve been thinking about it. As you mentioned, we did have some headwinds in 2019. We had whether. We had a new minor attraction that didn’t work out, as planned. All of those things we think were contributors to the retraction that we saw in attendance, though, it’s still over the two years up and we would say pretty meaningfully. Being new to this industry, I’m reminded occasionally that this is not unusual to see a retraction after such a substantial gain euro in like 2018. So, also, coming from where I came from, I’m not happy with that. I don’t think retraction is really our goal. So we’re working diligently to improve upon that. We got a great lineup of events and attractions coming to San Diego. We have the new roller coaster amper, which I described. We think that’s going to be a meaningful addition to the landscape in Southern California. So we’re confident that that’s going to help drive attendance. Then there’s plenty of potential in San Diego and we’re working diligently to realize that. So let me stop there. As it relates to Orlando, and you’ve heard us say this before, and I’ve lived here in Orlando for pretty most of my adult life. I’ve seen a lot of capital investment from the various theme parks and I’ve seen this market grow substantially as a result of it. Disney has built a fabulous attraction with their Star Wars land. We expect and are seeing increases in attendance here in Orlando as a result of it. I think our results, I’m generally pleased with what I’m seeing come out of Orlando, what we saw in the fourth quarter and even what we’re seeing today, so I’m generally pleased about that. I’m going to ask Marc, if he has anything else he wants to add to that, but…
Marc Swanson: Yes. I would just add, James. As Serge mentioned, we’ve been in this market a long time over 40 years in Orlando and lots of come into this market. So we welcome the increase in capital investment. We welcome the increase of visitation. And as he mentioned, it would be hard to have the type of recovery we’ve had over the last two years without good performance out of Orlando, obviously, being our biggest park.
James Hardiman: That’s really helpful. But to clarify, you guys don’t think any of the San Diego weakness is competitive-related?
Sergio Rivera: I don’t think we could attribute anything to that. So there’s nothing that we can attribute to that…
James Hardiman: Got it.
Sergio Rivera: …to that attraction being our….
James Hardiman: Very helpful.
Sergio Rivera: …opportunity and I don’t want to use that as an opportunity. I mean, we have control over our destiny and we’re comfortable with what we’re doing and we’re working towards and we’ve seen positive results when we apply ourselves, as we stated. So I’m confident that what competitors do is, they will do and we will compete effectively, so.
James Hardiman: Much appreciated. Thanks, guys.
Operator: The next question comes from Tim Conder with Wells Fargo Securities. Please go ahead.
Timothy Conder: Thank you, and good morning, gentlemen. Just a couple here. So I’ll lump them all into one. One, if you could just give us some color on an annual basis on your unit season pass grow that you saw what that represented as a percent of your total attendance, the uniques and then your frequency of visitation on a year-over-year basis from your season pass base? And then I guess on a unit and dollar basis, what that represents here as you’re looking into 2020? And then as – back to the COVID question, just to clarify, at this point, you have not seen any impact or negative feedback or any metric you’re trying to monitor here on advanced sales in anyway related to COVID?
Marc Swanson: Hey, Tim, this is Marc. I can take the first part and then maybe Serge can take the last part. But look, on pass base, I think, as Serge said in his prepared remarks, we – the combination of people that have a path or a fun card with which we would refer to as our base, that was up at the end of the year, and we’re not going to give you the exact increase or anything like that. But I mean, I think it was – we were pleased – fairly pleased with that increase and it ties in nicely to the deferred revenue. And one thing I want to make sure came across in the remarks, the deferred revenue, if you normalize for the ZhongHong fees that were sitting in deferred Q4 of 2018 that are not in there this year, our deferred revenue would have been up almost 6%. And I think, that gives you some indication of the strength of the pass base and kind of the revenue associated with that.
Timothy Conder: And then on uniques Marc and frequency visitation?
Marc Swanson: I mean, I think, in general, we had a – we had – if you look at the full-year of 2019, we did have an increase in number of unique visitors. I don’t know that we’re seeing any significant differences in how many times people visit. We’re just pleased overall that more people have a product that gets them into the park effectively on a year round basis. And that’s something that we – we’ve obviously worked hard and we’ll continue to focus on.
Timothy Conder: Okay.
Sergio Rivera: Tim, to your question around coronavirus. I’ll just emphasize again. We’ve seen no discernible impact to our business that we can attribute to coronavirus. So – and that’s the date. So there’s really not much more that I think we can add.
Timothy Conder: Okay. And gentlemen, this is a follow-up. I’ve had a couple of questions from clients already this morning. And one of the big, I guess, areas that you guys, over the last couple of years, have saved on is eliminating consulting fees or internal things that kind of effectively duplicated the same functions. Yet we saw here if you look at your disclosures in 2019 versus 2018, your consulting fees effectively doubled and in Q4, they almost quadrupled. So can you kind of help us with that? And then also why it’s treated as an add back to your EBITDA?
Marc Swanson: Yes. Hey, Tim. It’s Marc. I can take that question. So – and we – what I should point out is, we have a really good disclosure and reconciliation in our adjusted EBITDA table in the press release. But obviously, our credit agreement allows us to add back strategic initiatives and related business optimization costs. So as we’ve noted, we’ve been engaging different firms to help us on different business optimization and strategic initiatives. We don’t expect these things to last forever by any means, and therefore, they’re added back. But we – I should also tell you, we look at that bucket very carefully and have a lot of scrutiny around that bucket before we would add something back. But it’s basically strategic initiatives, business optimization costs to help drive the business forward.
Operator: Thank you. And our next question will come from Alexia Quadrani with JPMorgan. Please go ahead.
Anna Lizzul: Hi, this is Anna Lizzul on for Alexia. Thank you so much for the question. Just regarding the coronavirus, is there any other prior experience you can draw from in the company’s history that would give us some insight and how the potential spread of the virus could impact your business? Meaning what costs could you take out of the business in a prolonged shutdown of a certain park or of multiple parts? Thanks.
Sergio Rivera: Anna, let me try to add something to that. Look, I think the best thing is to – for us to be prudent and responsible and not speculate. But have we seen things like coronavirus in the past? The obvious answer is yes. We’ve seen SARS, we see the flu. We have – we see a lot of exogenous events impact us earthquakes, fires, hurricanes, things of that nature. What we can say to your question is in the past, we have seen nothing that has truly impacted the business in a significantly negative way. But, again, I don’t think we should draw parallels between things in the past and what coronavirus presents today. So I don’t I don’t think it’s prudent to create – to connect those.
Anna Lizzul: Okay. Thank you.
Operator: The next question will come from Eric Wold with B. Riley. Please go ahead.
Eric Wold: Thank you. Good morning. Thinking about some of the kind of the headwinds you saw with the San Diego park last year. I know you don’t tend to discuss kind of performance or kind of outlooks on a park-by-park basis. But maybe given that that’s been least called out kind of a headwind for last year. How should we think about your expectations kind of for the relative performance of that park in 2020 versus kind of the consolidated average?
Marc Swanson: Yes. Hey, Eric, this is Marc. So, I mean, I think, as Serge mentioned, we’re really excited about the rise that’s going into that park. And I think, it’s, as he described, the great dive coaster, it’s going to be one of the best on the West Coast. I think that’ll help jumpstart that park. There’s obviously other things we’re going to continue to try to do better. And that park also had some other impacts in 2019. So, like, I think, exactly what he said, we’re optimistic to get the ride open and get the year going in that park. And we’re going to keep performing as well as we can out there. As he said, on – when you look at it on a two-year basis, we’re pleased over the last two years, but we’d obviously like to do better in 2020.
Eric Wold: Okay. And then lastly, could you think about the cost cuts you took last year? How – can you frame maybe kind of how much of those were kind of structural permanent cost cuts and then kind of what you benefited 2019 and still would – has yet to kind of be – flow into the company and we see that benefit in 2020?
Marc Swanson: Yes. Hey, Eric, it’s Marc. I can take that question. Look, I mean, we’ve been pretty clear on the cost cuts that they’ve applied to the corporate offices and to the parks and around various services, consulting fees, labor optimization, labor efficiency. So there’s still some run rate to come in 2020 and from things we identified this year. And if you look at our pro forma cost savings in our release, you’ll see a number that we – we’ve laid out for that. I think if you look over a kind of a two-year basis, we’ve had a pretty good success with the cost reductions. We’ve – over the last two years, 2018 and 2019, we grew attendance of $1.8 million; we grew revenue, $135 million; and we grew adjusted EBITDA, $160 million. So, we had $25 million right there of just cost savings, the difference between EBITDA and revenue growth. But then we also covered the associated variable costs associated with the $1.8 million in attendance growth. If you go back and look at our kind of the target we laid out, we said attendance largely flows through at about a 20% cost or an 80% margin. So we covered off those costs. If you add those things together, you get close to $50 million. And then when you add in things like new rides, new attractions, things that we’re putting into our parks that are are brand-new, so they require operators and mechanics and things like that, those have an associated costs. In some cases, we’ve added incremental days. We’ve obviously had wage pressures like others in the industry. When you add all that up, I think you get to well north of $50 million in cost savings. But we’re not going to stop. We’re going to continue to focus on this and continue to drive forward. And as we – I don’t have a specific number to share with you for 2020. But as we report each quarter, we’ll try to highlight what – how we feel about the cost and what initiatives we’re taking and what other buckets we have that potentially could drive more efficiencies going forward. I think what I leave you with is, we just have a culture of focus on efficiencies and driving those to the business.
Eric Wold: That’s helpful. Thank you.
Sergio Rivera: Sure. Thanks, Eric.
Operator: The next question will come from Brett Andress with KeyBanc Capital Markets. Please go ahead.
Brett Andress: Hey, good morning. Can you give some more detail on the pricing strategies that you implemented during the quarter? I guess, what did you do in 4Q on price that work? Did you take price on season passes? Was it less discounts on single day tickets? Just any color there? And then how much of the per capita increase in the quarter was the mix component that you referenced?
Marc Swanson: Hey, Brett, its Marc. I can take that. Look, there’s a lot of different levers we have on pricing. So, in some cases, we can take headline price. But in a lot of other ways, we can just reduce discounts, reduce promotions, things like that. And so I think what I would tell you is, we generally do a combination and, kind of for competitive reasons, I don’t know that we want to get into the specifics. But we believe in general, again, we can take pricing. We believe we have pricing power. So, for example, as people, as we put new passes on sale for the following year, we’re generally trying to find ways to increase that price, for example, would be one example. So I think, you’ll continue to see us do that. And it showed up, like I said, pretty well in the fourth quarter. And I think it largely makes sense, as you’ve noted. We had, as we’ve talked about, we had, in past years, we’ve been – or in past quarters, we’ve talked about that we thought this would show up kind of towards the back-half of 2019. I think I would probably kind of leave it at that.
Brett Andress: Got it. And then I know it’s early days, but can you talk about the transition of the Orca Show in Orlando and San Antonio? Just what guests feedback are you getting? How is that show performing? That would be helpful. Thank you.
Sergio Rivera: Well, I’ll take that one. Thanks for the question, Brett. You’re correct. We have a new presentation. We refer to it as Orca Encounter. It’s educational-based and really speaks to the Orca’s positioning in the natural order of the oceans and describes what we’ve learned and how we interact with them, how they live and the threats that they face. The show has just received tremendous reception from our guests and the media. And I would encourage everyone on the call to come see it if you haven’t seen it.
Brett Andress: Thank you.
Sergio Rivera: Thank you.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to Sergio Rivera for any closing remarks.
Sergio Rivera: Thank you, Chad. On behalf of Marc and the rest of the management team here at SeaWorld Entertainment, we want to thank you for joining us this morning. I would be remiss to not thank our employee ambassadors for their efforts every day to further our mission to protect animals in our – and their environments. As you’ve heard this morning, we have confidence in our ability to achieve the higher-end of the 2020 adjusted EBITDA goal of $475 million to $500 million. We believe our 2020 slate of rides, attractions and events are the strongest in our history. We have confidence that we will deliver attendance, revenue and adjusted EBITDA growth. And we expect all of this to result in increased shareholder value. We thank you. We look forward to speaking to you next quarter.
Operator: Thank you, sir. The conference has now concluded. Thank you for attending today’s presentation. You may now disconnect.